Sven Kristensson: Good morning, and welcome to this conference call regarding Nederman Group Q4 2025. It's been an interesting year. And what we can conclude in Q4 is that we had higher orders received and a stronger business. We have, during this challenging period, continued to strengthen our leading position and we are working with market leadership, technical leadership, commercial leadership and operational leadership. That's our focus during this period. If you look at Q4, we had good organic growth if you consider it on a currency-neutral basis. We also had a currency-neutral growth in sales and we believe that is very positive given the market conditions. We have delivered good cash flow and we have continued invest in operations and also in R&D. And these investments have provided a very solid basis for the future. We will have higher margins and better efficiency when we regain some momentum in the market.
Matthew Cusick: If I look at some of the key financials now, orders received grew currency-neutral in both Q4 and the full year. It's very hard -- some of you who've listened to a number of these hearings already in this year-end season might be tired of hearing about currency-neutral and currency effects, but it's really very important to take this into account when analyzing the numbers. Sales as orders received for Q4, SEK 1.38 billion versus SEK 1.4 -- slightly over SEK 1.4 billion last year. So on the face of it, that looks like a decrease. However, organic growth was 4.7% in the quarter, currency-neutral, including some of the couple of acquisitions from Euro-Equip that we acquired back in March of 2025 and some from Duroair last year. That leaves us at 7.3%. Unfortunately, currency effect on orders received and actually on sales in the quarter was over 9%. For the full year, SEK 5.55 billion was the full order intake. That's growth, currency-neutral of 1.5%, slightly negative organically, minus 1.3% and still, obviously, for the full year, a clear currency impact. On the sales side, again, currency-neutral growth for both Q4 and the full year, just over SEK 1.4 billion in sales in the fourth quarter versus a very strong Q4 of 2024. It must be pointed out, SEK 1.62 billion was very high for the Nederman Group. Currency-neutral, that's 1.3% up in the year -- in the quarter -- sorry. For the full year, SEK 5.78 billion versus SEK 5.9 billion last year -- 2024. 3.5% up currency-neutral. So we see in these -- with these market conditions and the current investment appetite that 3.5% currency-neutral growth is rather strong. Profit-wise, like Sven mentioned, these investments that we've done in our operations have improved underlying profitability. The releases of new products has boosted sales in, for example, Process Technology's aftermarket. Adjusted EBITA for the quarter SEK 459 million versus SEK 185 million for quarter 4 2024. That's a drop of SEK 26 million, SEK 22 million currency effect in the quarter. Please take that into account when analyzing this. The SEK 159 million leaves a margin of 10.6%. Earnings per share is SEK 1.86, therefore, versus SEK 2.49 in Q4 last year. Full year adjusted EBITA SEK 627 million versus SEK 708 million. EBITA margin, 10.8% versus 12% and earnings per share SEK 7.8 versus SEK 9.83. When looking at the full year results, we had a currency impact on EBITA of approximately slightly under SEK 70 million. U.S. tariffs were approaching SEK 15 million for the group as a whole. And then we did have a couple of one-offs, you remember in 2024 related to a property sale and the company sale in China. The sum of those is just under SEK 100 million. So when comparing SEK 708 million to SEK 627 million for the full year, please take that into account. Cash flow, good cash flow in the fourth quarter, very good cash flow actually in Q4 of 2025, not quite as good as the cash flow in the -- I think that was an all-time high for 1 quarter cash flow in the Nederman Group in Q4 2024. For the full year, SEK 382 million, again, rather strong. This is important that we maintain a good cash flow. This has funded a lot of the investments that we've been making in our operations. We can see that on the second -- on the right-hand side of this slide, the net debt has decreased over the past 2 quarters, although it is higher than it was 12 months ago. We've made significant investments in our operations. We've also acquired a new company and paid out a dividend during the year, of course. If we go right through and break things down on how the business is going division by division, then Sven, and start with Extraction & Filtration Technology.
Sven Kristensson: Yes. Extraction & Filtration Technology Q4, we had more large orders, both Americas and EMEA and that gave an increased order intake versus last year. We grew sales in Q4, currency-neutral. We definitely improved operational efficiency and that was driving profitability. And the full year EBITA was up SEK 10 million. And if you would consider it currency-neutral close to SEK 50 million, which is a strong performance in a very challenging market. For the regions, EMEA, we had increased order received. We had major solutions orders and we are growing our aftermarket business, which has been on the strategic agenda for several years. We had 2 very big orders in Belgium for welding and one in Sweden operating nuclear industry. In Americas, we had actually double digit growth in order and sales. There were several larger orders. Several of them came from defense and aerospace industry, where we have good solutions and our concept of clean air optimized with energy savings, logarithm, et cetera, has given us some success here. Then we have the orphan APAC. One major order was secured to aerospace, a strategic and prestige order. But overall, we are not doing a very strong performance in Asia. Both orders and sales dropped. Key activities during period has been preparation to modernize the facility in Charlotte. It will further strengthen U.S. supply chain and operational capacity. It will shorten lead times, which is one of the biggest advantage, but it will also take away over time, some tariffs and other challenges. Continued investment in the new innovation center in Helsingborg is ongoing and we have a fully booked innovation center for the full year 2026. And we will also see order -- new products and solutions coming out of that. Testing and validation of current and next-generation products in the innovation center is ahead of new launches in that.
Matthew Cusick: When we look at the financials for E&FT division, orders received for the quarter, slightly irritating, SEK 0.5 million below the same quarter last year, even at prevailing rates, currency-neutral growth, 7.9% which is purely organic in the case of this division. Sales, SEK 686 million, left an adjusted EBITA of SEK 96.4 million, which is 14.1%. It's ahead of Q4 2024 in both -- in both SEK and in percentages. For the full year, EBITA up to SEK 362 million from SEK 352 million, as Sven mentioned, currency-neutral, that's SEK 48 million up. The margin increasing up to 13.7%. So more efficiency in the operations investments, for example, in the site in Helsingborg and in [ Markaryd ] have contributed to that. If we move on to Process Technology then, Sven.
Sven Kristensson: Yes. Process Technology, more dependent on larger projects and have had a challenging period, but the activity picked up towards the end of last quarter. We had a currency-neutral order growth of 15%. We also had some sales increase versus Q4 '24. We have had some positive contribution from Euro-Equip that we acquired end of first quarter last year and they are integrated and doing a very good job working with the rest of the Nederman team. The service business continued to perform strong. Customers are focused on maintaining compliance and ensuring the efficiency of existing installations. And this is, of course, a result of the lower willingness to take decision on larger investments. If we look at textile and fiber, there's still a very low investment appetite and that goes for the global market as such. There is still overcapacity globally in spinning mills and also in weaving mills and that has a negative impact on our sales here. However, we are growing the service content. The order intake did, however, increase slightly in Q4, meaning that we are taking market share, especially in India, where we have a very strong organization and some neighboring countries that we supply from there. When going to foundry and smelters, Euro-Equip supported an increased order intake. It's a very good addition to Spanish-speaking area. We had one large aluminum order in Australia and some local production in India have enabled deliveries to several smaller foundry projects there. That is something we have tried out to get inside the tariff barriers and also shorten lead times by using our strong capacity and capability in India and increase their scope by doing -- under the supervision of our German expert team, doing FS filter, which, of course, is technical mumbo-jumbo for you, but it's configurated large for hot air application like foundries and smelters. This is something we will continue to further develop for the region to take a position in APAC. Customized solutions, orders received increased. It was boosted by large orders in U.S. from pharmaceutical industry. And again, our service and aftermarket is developing well. Key activities has been the investments in upgrading test centers, upgrading buildings in Germany, including solar panels and efficient heating. We have continued positive trend for service and aftermarket business and that includes our digital offerings, our continued strong demand for energy-efficient fan for textile. This, again, the very large energy saving that you get from our newly developed high-tech fans for spinning, weaving industry. And we are soon selling our thousandth new replacement fan for that.
Matthew Cusick: Financials then for Process Technology. Orders received SEK 384 million is an increase from an albeit modest SEK 368 million in Q4 last year, but nevertheless, currency-neutral growth, 15%. Sales, a stronger sales quarter for the division than the earlier quarters of the year, SEK 456 million, resulted in an EBITA of SEK 44 million, 9.6%, which is quite good for this division. It's below a very strong Q4 last year, 11.1%. That included some -- concluding some varied -- for this division, high-margin projects then. But 9.6% is pleasing. The mix with higher service -- higher levels of service business helps that. For the full year, adjusted EBITA of SEK 144.7 million is 8.8%. It's down from 182% -- SEK 182 million, which was 11%. We move on to Duct & Filter Technology.
Sven Kristensson: Yes. Duct & Filter, the development during the quarter, we had a declining order intake. There were significantly fewer major projects, particularly in the U.S. and that has been very much linked to EV batteries, large investments that has flattened out. We have also seen that there has been the same problem as PT for large investments -- larger investments in smelters, foundries, et cetera. And we are dependent on getting those wood industries, et cetera. Order activity, however, increased in EMEA. Sales was impacted negatively by lower order intake early in Q3. But despite the low volumes, profit margins remained solid. If you look at Nordfab isolated, both orders received and sales decreased in the U.S., and that is a market that stands for almost 80% of division sales. Work continued on 2 large projects in EV battery manufacturing, which generate further follow-up orders. But as mentioned earlier, it's drying up a little bit with the EV battery market in U.S. Nordfab now is contributing to a higher efficiency and profitability with delivery reliability of 99.9% during the quarter. So we are the leading and first choice when they want to have secure deliveries, quick deliveries. And we have also now, which I will mention later, started with our hub in Texas in order to further strengthen our reach in the U.S. market. If we go to Menardi, orders received in the U.S. increased in Q4 and that was boosted by new major orders to U.S. steel manufacturers that are facing a revival due to the tariff protection. In EMEA, the trend remains stable. So again, the key activities have been new production warehouse facility in Thomasville is completed and it's taken into operation. Thailand and Australia have launched new stainless steel product for the food industry and Nordfab EMEA launched improved high vacuum bends and branch for easier installation. Warehouse center established in Dallas, Texas, to strengthen Nordfab Now and Nordfab Now is our concept of being able to have next-day deliveries. Amazon has spoiled people with very quick deliveries and we are now following that trend and we see good success in this new way of handling it. As mentioned, almost 100% delivery certainty. Nordfab EU obtained EPD certification for galvanized and stainless steel product families.
Matthew Cusick: Briefly on the financials for Duct & Filter Technology. Orders received did drop 11% currency-neutral as did sales. Sales at SEK 179 million versus SEK 229 million last year. EBITA 17.4%, up from 16.5% last year. Okay, it's down in absolute terms, but this is -- we see the efficiency from these investments we've made in the operations units around this division. So able to maintain good levels of profitability. For the full year, 19.3% is the EBITA. That's slightly down from 19.6% on obviously lower sales volumes. Monitoring & Control Technology then, Sven.
Sven Kristensson: Yes. Monitor & Control, the development during the quarter was that we had an increase in orders received and that was fueled by very strong performance by NEO Monitors in Asia. It's a division that has most success in the Asian market. However, the weak orders received in Q3 led to slightly lower sales in Q4. We are focusing on the service business and we continue to perform well in growing that part of the business. We are also here linking our Olicem, the reporting system to our -- especially Gasmet projects and seen success when we can package these things. Some segments, hydrogen and defense are developing well. Geographically-wise, we look at EMEA. It was boringly straight. It was same basically as Q4. First portal analysis to defense customer in Germany and Switzerland has been delivered. And we have also the certification process of Auburn's product line ongoing for European market, which when that will be finalized, will give us access using also our Boston manufactured products for especially particle emission measurement available for the European market. In Asia, NEO Monitors saw strong order intake. We have also come in the situation, we have more direct sales to customers. We are in more direct discussions with customers that strengthen our position. We have also increased the presence in APAC with small offices, both in Korea and in Singapore. In the Americas was the development rather weak. Fuel orders to public sectors that is customs duty and it's emergency service, educational institution where Gasmet has had a very strong market with affordable units. However, with the financial restrictions in the public sector, we've seen a decline here. The exception is that the steel industry as also has been seen in Menardi is continuing to upgrade the old facilities, which has led to some new opportunities and orders. The key activities has been the launch of LG III ICL. That's a very prosaic name, only an engineer or a Ph.D. in engineering can come up with that very market-friendly name, but it's there and it's an advanced laser gas analyzer for industrial application. The extension of Auburn's facility in Boston is completed. It was inaugurated January 21, but it was taken into use slightly earlier than that. What it means is that we have strengthened the product and logistic flow. So we have now a test base and a more efficient operationally working in that factory as well. We have also preparations underway to improve efficiency and increase production capacity at Gasmet Finland. And we have attended some of the important shows in Asia to prove our willingness to be there and grow our market.
Matthew Cusick: Financials for Monitoring & Control. SEK 189 million in order intake was an increase of 10% currency-neutral. Sales, SEK 205 million is below what was a very, very strong Q4 of 2024, SEK 241 million. Currency-neutral, that's actually down 8%. Adjusted EBITA is SEK 37 million, which is 18%. That's an improvement in margin versus the full year average. So we see -- we think -- or we are seeing some efficiency in the operations, these investments in NEO Monitors in Auburn starting to have an effect right away. For the full year, currency-neutral growth was 1% positive, sales, 1% negative currency-neutral. And then adjusted EBITA, SEK 129 million versus SEK 144 million in 2024. That leaves a full year margin of 16.7%. So Sven, our outlook?
Sven Kristensson: Yes. And as for the last few years and especially this year, the outlook is interesting, but the demand remains dampened in many industries. There are some areas that are better than others. We have a growing service business and a very strong digital range enable us to assert ourselves well in the current turbulent market. Following higher activity in September, orders received continued to pick up in Q4, which if it continues, would be very positive for development in the first half of 2026. At the same time, the market is dominated by considerable uncertainty, making it difficult to forecast the broader recovery in demand. But if it gains momentum, we are in a very good position to increase our margins. With a strong balance sheet, we are continuing to invest in operational efficiency, ongoing improvements to our offering, allowing us to continue to advance our position irrespective of the market condition. In the world with growing insight into the damage that poor air does to people, Nederman with its leading industrial air filtration offering has a key role to play and good possibility for continued growth.
Matthew Cusick: Financial calendar annual report will be released on the 17th of March this year. The interim report exactly a month later on the 17th of April for the Q1. Annual General Meeting on the 21st of April, where we expect the AGM to approve the proposed dividend of SEK 4 per share. That's unchanged versus 2024 level. Q2 report will be released on the 16th of July and the Q3 report on the 21st of October this year. And with that, we can open up, I think, for any questions that people listening may have for us.
Operator: [Operator Instructions] The next question comes from Anna Widstrom from DNB Carnegie.
Anna Widstrom: So firstly, I just want to dive into price and volume in the order book. Given that there are some tariff effects, how should we think about volume versus price in the organic growth that we see in the orders?
Matthew Cusick: Let me think. That's a very good question. The currency -- the tariff -- if you think in relation to tariffs, the tariffs are not making a huge effect. The tariffs affect our costs by around SEK 5 million per quarter on approximately current -- give or take on current volume. So on sales prices, they don't affect things massively. Then when it comes to price, we're not seeing massive price movement in the market. There's not -- it's not -- we're very careful not to get dragged into a race to the bottom. However, we're not increasing prices significantly. So I think when you're looking at this -- or when you look at this organic or currency-neutral growth, it is growth that you're looking at there is the simple answer.
Anna Widstrom: Okay. Perfect. And just to continue there on the tariffs. Have you experienced any shift in customers' willingness to pay these new set of prices? Have they sort of been more keen on evaluating local opportunities? Or have they just sort of caused investment decisions? What's your sense in your view?
Sven Kristensson: This is, of course, not something that you can empirically prove. But the biggest effect during this year is that the uncertainty that has been generated is that a lot of American large project has been postponed. We are talking about several hundred million PT project that has been postponed both in U.S. and some also in Asia due to the uncertainty of what are the rules here. When it comes to other effects...
Matthew Cusick: I could answer that maybe, Sven.
Sven Kristensson: Yes.
Matthew Cusick: When it comes to tariffs, we don't import an awful lot into the U.S. And what we do -- of course, what we do has been impacted by certain parts of what we do is being impacted by this. But in the U.S., you have seen inflation, for example, in steel prices internally anyway. So it's not that our costs are significantly different to any competitor. And I mean, in fact, we source approaching 90% of everything we sell in the U.S. is sourced U.S. anyway. But we don't think that we're at a competitive disadvantage related to these tariffs. And like you say, the investment appetite is...
Sven Kristensson: Yes. And then you have some awkward sort of more emotional feeling that some Canadian customers refuse to take the product from our U.S. factory. So we are now shipping directly from Europe and manufacturing in Europe is that it has more to do with an emotional side of it than -- and that is things that going on. So it's more that you have an uncertain world and animosity towards some. But we also have to -- EFT has more than 80%, 85% local made in U.S. Where we have some import is on MCT when it comes from our Norwegian and Helsinki. But that's where we see that. Otherwise, we have basically in all regions manufacturing for the local market.
Anna Widstrom: Okay. That's very clear. So then I just want to go into the margin development in EFT. So first, I'm a bit curious on the improvement that we can see here. How much of this is an effect from the improvements made in, for example, the Helsingborg site?
Matthew Cusick: There are clear improvements made. If we talk operational improvements, then, we were talking around SEK 20 million, I think we were talking. We believe we've made operations improvements of around SEK 20 million in total in the EFT division through -- and then it's very -- it's not exactly the same volumes that are going through, but we've definitely made clear operations improvements. We've also seen a part of the profitability boost is that we are -- we have seen good growth in product sales or a higher portion of product sales, which means we're filling our factory up even more with less. So there's more Nederman content in everything we sell. But operations clearly helping and 20 million is the -- what we believe is the full year effect for 2025.
Sven Kristensson: And we will continue to see effects of that. And we are now also investing further in order to show, as mentioned, in the Charlotte factory, in-sourcing more. We will take less from our Polish factory. But the biggest advantage here will be that we are more competitive because we have -- we are shortening the lead time. This is actions we are going to use in other areas as well. And we are also looking at how can we utilize our capabilities in, for instance, Thailand because there are free trade agreements between Thailand, India and some other areas. So we -- you have to play this game as well. But generally speaking -- and when you mention EFT, we'll also say that the NEO Monitors efficiency program where we have rebuilt and reorganized from a more prototype version of manufacturing to a more -- when we now have got some volumes, we have also there significant improvements, then we need some further volume. We had also for NEO and Gasmet set up in Suzhou in China where we now can service locally the equipment rather than shipping them across the globe to Norway and so on. So that is also not saving so much of the cost saving. It's more attractiveness for the customers that we locally can handle their issues. It was a long answer. It was slightly outside of the -- I hope that it was okay.
Anna Widstrom: And just a follow-up on sort of the short-term expectations because I think you wrote something about the orders having quite a lot of solutions and service in the order book for the division. Is that then perhaps a bit more of a negative effect for margins in Q1 if we just think short term?
Sven Kristensson: I -- probably not. I think that -- our assessment is the service increase will continue to -- or the service proportion will continue to be high and that will counter any shift between the products and solutions there. That's -- but also remember, we are doing very well in our solutions with our -- now I'm almost bragging, but our superior, we get better paid for our solution because this clean air optimize would include the energy save system, it includes digital surveillance. It includes the good filters locally made. We have an attractive offer. And the reason why we get larger orders and the special orders to defense and so on is that we have proven concept. We do not have to guess that it will work. We have done it. We've been there. We've done it. We got the winners T-shirts before. So we -- and that we see especially in sensitive areas like aerospace, defense, where we have good strong performance.
Anna Widstrom: Great. That's a perfect segue into my next question because for several quarters, we've noted that you mentioned large orders from defense. Do you have any sort of guesstimate on how much of the order book or sales that currently is towards the defense industry?
Sven Kristensson: Matthew?
Matthew Cusick: We don't have a completely accurate figure on that. So I would rather not say -- I could do some -- I will do some research on that. We will try to -- I think we will note this because it's not the first -- you're not the first person we've heard this question from. I think in the Q1 report, we will try to have some level of estimation there. So we don't -- it's -- what we -- we should say about this defense is not in one particular region that we see. This is both Europe and the U.S., is less so in APAC. Europe and U.S. is where we're seeing it and it's different countries. Some of the same suppliers -- customers, sorry, BAE, we followed -- we've seen them in Europe, U.S. -- and the U.S.
Sven Kristensson: Northrop Grumman here, the big -- and it's very much -- you can say that it's the same. It's aerospace, which we've been a long-term supplier to Airbus, et cetera, that now also goes into military aircraft. You have vehicles where, for instance, our RoboVent company in Detroit has been utterly dependent on the local regional automotive market, which has declined significantly, but we have exchanged that by using their American-favored technology in defense for welding applications, but also in food and other areas. So we have exchanged somewhat the customer base. And you understand that what did they say for the company, they had SEK 130 billion in losses last year because they write off. Their investment appetite is not enormous. So we have the customer base.
Anna Widstrom: Great. I have a follow-up question on this. If you've -- you're sort of answering it. But if you noted that you have sort of gained market share within this segment or having a sort of preferred supplier position? Or is the growth that you're noting is mainly from the growing of the defense industry in general?
Sven Kristensson: I think the preferred supplier one, you can say something. When you -- with these customers, once you're in, you are kind of -- you are in -- it's not to say there's no competition whatsoever, but the likelihood of getting repeat orders is there. And we have seen that where like I mentioned with BAE, for example, so it is happening in more than one country or more than one project. So this signals that -- hopefully that there is some stickiness on this business going forwards.
Anna Widstrom: Great. And then on the [ GST ] division, it stands out a bit on the organic order intake. Is this mainly from it having larger U.S. exposure? Or what's your view of this?
Matthew Cusick: They do have a large U.S. exposure. It's around 80%, I think, U.S. And then they have -- on top of that, they have a couple of -- they were very strong in EV battery investments, which were happening late last year and actually Q1 -- sorry, late 2024 and actually in Q1 of 2025, we were receiving orders there. The other part of the market, they do have quite a large chunk of exposure to the wood industry still, which -- a lot of which is construction-related, which isn't super hot right now, but it's obviously a very, very important industry and will continue to be so. So what we've seen in Duct & Filter like we mentioned is the efficiency in the factory is clearly, clearly better, but they are lacking volume. It cannot be denied.
Anna Widstrom: As you said, the margin is positive and you mentioned that improved production and warehousing process in U.S. and Europe is a positive. Is this also a benefit from having a lower ratio of very large orders? Or should this scale from current levels very well and also that activity of significant large order comes back?
Matthew Cusick: We have invested also in some more -- in the production of the -- for the larger ducting as well so that you ought not to see a decline. If we were to get more large orders, you ought not to see a decline. And in fact, with more volume, we'll have more absorption of overheads as well. So we don't -- we think this improvement is here to stay.
Sven Kristensson: Yes. The improvement is definitely there to stay. The thing is, of course, we need to utilize the equipment and so on. But what you see is that we have been heavily impacted with EV batteries when we had magnificent success over a year's period when that market grew. Now we have to do the same as we did with [indiscernible]. We need to find new attractive areas where we can supply. And we have to remember, what we are doing is that we have in -- we are efficient and we are mostly used in combustible dust environment because that is -- this is a specialty. It is very clean interior in the duct work and that is the importance here. So that's where we have. So it's typically combustible dust in food. It is in EV batteries. It is in aluminum, wood, et cetera.
Anna Widstrom: Great. Just 2 more questions from my side. The first one is on the Monitoring & Control Technology division that you mentioned and you mentioned that, I think, in the last quarter as well, that the conversion to new technologies amongst customers is taking a bit longer than expected and connecting this also to the political uncertainty. Could you maybe expand a bit on this? And is it a type of customers that has found this trend more clearly or regions like the U.S. or something else?
Sven Kristensson: Yes, it's difficult. What we see -- the main thing here and what has been talked is the decline in the public sectors. That has had a strong impact. What we then have to do is, of course, focus a little bit more on other customers, again, like EFT has been doing and so on. If our current customer base are reluctant to do the investments, we need to work harder with some other areas. And I think we've seen -- we are launching new products in U.S. in Auburn, where we are cooperating between NEO and Auburn and the combination here, we can do better. We are working now with the Gasmet Olicem on service and quick reporting response been quite successful in this incineration business where reporting is a very important portion of it. So we are building out sort of packaging it to be even more attractive going slightly outside our current customer base in a controlled way.
Anna Widstrom: Perfect. And then my final question is on capital expenditures, which is down year-over-year. While you mentioned some initiatives in the report and so what level of CapEx are you planning for during 2026? And is there differences in tangibles and intangibles?
Matthew Cusick: For 2026, I think the rate of product development, which is the vast chunk of our intangibles, that will continue. We're not going to ease off on product development, digital or actually filters -- new filters, et cetera. When it comes to fixed assets, what we can say on that, 2024 and 2025 were quite high years for fixed asset expenditure with a lot sort of longer-term investments in buildings in Helsingborg, the one in RoboVent, the Nordfab ducting one in the USA as well. 2026, what are we doing on that front? We're going to invest in the Charlotte plant to some extent. But I think you can expect a drop in tangible fixed asset investments, although it will still be on a -- historically, if you go back 5 years on a rather high level. As things are now, we would expect this to drop in 2027 a little more because we don't -- we believe we've got -- we will have a footprint that is there to and can incorporate a manufacturing footprint that can handle significant growth without major further CapEx.
Operator: [Operator Instructions] There are no more questions at this time. So I hand the conference back to the speakers for any closing comments.
Sven Kristensson: We thank you for taking your time listening on this Thursday morning and we'll be back for the Q1 report later in the year. So thank you very much, everyone.